Operator: Ladies and gentlemen, thank you for standing by and welcome to the Q4 2020 Poshmark, Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Christine Chen, Head of Investor Relations. Thank you. Please go ahead. 
Christine Chen: Welcome to Poshmark's fourth quarter and full year 2020 conference call, our first call as a public company. Joining me today are Manish Chandra, our Founder, Chairman and CEO; Anan Kashyap, our Chief Financial Officer. Please keep in mind that our remarks today include forward-looking statements such as; statements related to our financial guidance and key drivers; the impact of COVID-19 on our communities, business and strategy; the potential benefits of our marketing and product initiatives; and the anticipated return on our investments and their ability to drive growth. Our actual results may differ materially than those expressed or implied in our forward-looking statements. Forward-looking statements involve substantial risks and uncertainties, which are described in today's earnings release, the final prospectus for our IPO filed with the SEC on January 14, 2021 and subsequent reports that we filed with the SEC included in our Annual Report on 10-K for the year ended December 31, 2020. Any forward-looking statements we make on this call are based on our beliefs and assumptions as of today and we don't have any obligation to update them. Also during the call, we'll present GAAP and non-GAAP financial measures. A reconciliation of non-GAAP to GAAP measures is included in today's earnings release, which you can find on our IR website along with a replay of this call. And with that, I'll turn it over to Manish. 
Manish Chandra: Thanks, Christine. Hello and welcome, everyone. Thank you for joining us for our first earnings call as a public company. I hope you're all doing well and staying safe and healthy in these challenging times. One year ago today, the World Health Organization declared COVID-19 a pandemic and our lives were forever changed. My heart goes out to those who have lost loved ones and to everyone affected by this unprecedented health and economic crisis. Looking back on the year, I'm incredibly proud of how our team came together to support our employees and community during a very unpredictable and volatile time. We not only navigated through a very challenging year, we also delivered profitability for the first time and accelerated momentum in the business. Before we discuss our fourth quarter and full year results, I want to take a step back to reflect on our mission and provide some historical context to helping our performance into focus. Poshmark was born from a vision I had nearly a decade ago, where people are empowered by technology to make shopping human and social again, while pursuing their passions, supporting sustainability and ultimately thriving financially. Our mission is to put people at the heart of commerce, empowering everyone to try. By pairing technology with people's inherent desire to socialize, we built a vibrant social marketplace engineered to enable seamless e-commerce transactions and create hyper-engagement. Our social marketplace is designed to serve everyone, whether you're looking to save money, make money, find unique items or discover new brands. Users come to Poshmark to shop and sell everything from apparel accessories and beauty to home goods luxury items and now pets merchandise. We have an asset-light model and hold no inventory and instead focus on making the buying and selling experience incredibly seamless easy and social through the power of technology. We're the leader of the interception of three key trends shaping the future of shopping; the shift to online, a shift to social and the shift to secondhand. Many of these trends are led by younger generations who continue to grow their spending power as they age. But the beauty of Poshmark is that we have a broad appeal across generations. We grow our marketplace by growing our overall community of users. These users activate as buyers and sellers creating a virtual flywheel of growth and monetizations. When users join, they connect with each other through social interactions, which grew 48% to 30.4 billion in 2020. Sellers are at the heart of Poshmark community and we welcome seller of all types, from resellers to retailers, side hustlers to professional sellers. Most of our sellers are what we call casual sellers, people who are selling items that they can easily source from their closet. The beauty of our social marketplace is that our users who spend an average 27 minutes daily on our app continue to engage and reengage over time both as buyers and as sellers. And this fuels a high-velocity flywheel of organic growth. Anan, our CFO is going to take you through the numbers in more detail, but I want to walk you through some of the fourth quarter and 2020 full year highlights. We reported a strong fourth quarter and grew our GMV and revenue by 28% and 27% respectively as our community of buyers and sellers continued to embrace Poshmark's social model. For fiscal year 2020, GMV and revenues grew 29% and 28% respectively to $1.4 billion and $262.1 million. We delivered our third consecutive quarter of adjusted EBITDA profitability with $4.2 million in adjusted EBITDA and 6.1% in adjusted EBITDA margin. For fiscal year 2020, our first year of profitability adjusted EBITDA was $34.3 million with 13.1% margin. We continue to focus on marketing efficiency, while investing in growth. We're entering this new chapter as a public company with a business that is stronger than ever and this was driven in large part by great execution of our four growth strategies. Our first strategy is to focus on innovation to drive user engagement, which is fundamental to the retention of our user cohorts and GMV growth. To make discovery and shopping even easier for buyers, we remain focused on optimizing search which includes leveraging personalization and strengthening matching to drive conversion. We believe there is enormous potential here and we are working hard to extend personalized merchandising to even more areas of our market-based experience. In August, we completed the rollout of Posh Stories, our first video commerce feature that enables sellers to market their listings in short videos and photos and allows buyers to discover and shop items directly from these videos. Just last month, we began testing a highly requested capability that allows sellers to add videos directly into their listings providing new ways to market their products, drive traffic to their closets, and engage with potential buyers. These listing videos will automatically be added on to Posh Stories continuing our goal to bring video into the heart of Poshmark social marketplace. Growing our international footprint and capability is a second key strategic focus and we plan to invest ahead of revenue. The success of our Canadian market which launched in May 2019 provides a roadmap for continued international expansion. In February of 2021, we launched Poshmark in Australia, our second international market. We're excited to offer Australians a simple social and sustainable way to shop sell and connect. With this expansion, whether you are in US, Canada, or Australia, all users will be able to switch their app view between countries to see listings, get style inspiration, and engage with each other socially, fostering personal connections across the world. Our third strategy is to grow through category expansion. And in 2020, we launched two new categories; Beauty & Wellness and Toys & Games. And just a few weeks ago, we launched Pets. As we think about category expansion we want to address the style needs of the entire family. These new offerings demonstrate the scalability of our model. Our fourth strategy is to deliver robust, easy-to-use, and effective seller services to help seller’s market and sell their product offering. Our social marketplace makes it very easy for anyone to sell and we provide incredible demand generation services to attract shoppers to sellers' listings. In September, we released Drops Soon feature, which allowed sellers to premarket items that are not yet available for purchase. Buyers can like the items to be notified when it's available for sale, building demand prior to the product drop and facilitating quicker sell-through. This feature has been particularly well received by professional resellers, brands, and boutiques who are managing deep inventory. From day one, we have been committed to giving our sellers tools to simplify and scale their business. And we are excited to take this to the next level to ensure we're the social store for everyone. We're in the early stages of investing in new technology and services to help our sellers, spend time doing what they love best, which is connecting with each other and serving their customers. And this includes building out capabilities for sellers who are scaling up their operations. In January, we started rolling out a new feature that gives sellers the ability to list items with discounted shipping to a small segment of sellers. Previously, shipping discounts were only available through private negotiations and offers. We are encouraged by the initial conversion rates and expect to roll this out to the entire community this month. This month we reintroduced Posh Party LIVE, which is a flagship Poshmark event series that goes back to the early days of our founding and is a popular networking and social event for our community. Only this time, instead of physical events Posh Party LIVE will be held in a new virtual format. Poshers across the US, Canada and Australia will be able to join these virtual events to socialize and gain seller-focused educational programming. While the world remains socially distant, we are keeping the Poshmark community connected through live virtual events. And when it is safe to do so, we will plan to introduce in-person events, which I know everyone is eager to get back to. During these extraordinary times, consumers craving for social interaction has only been intensified, and the Poshmark experience uniquely brings people and technology together to make shopping fun and social again. The simplicity of our business model makes it possible for any type of seller small or large to thrive by selling to buyers who seek a more social and sustainable way to shop. Guided by our mission and values, we have more confidence than ever that our strategies will continue to accelerate growth into 2021 and beyond. We remain focused on supporting our community, innovating for a fantastic user experience, and expanding the reach and offerings of our social marketplace, as we continue to lead the future of shopping. In conclusion, we had a strong fourth quarter in 2020, where the Poshmark team really put their energy into executing for the benefits of our entire community. We believe that Poshmark has an incredible compelling growth potential for years and decades to come. We have high conviction around making the investments that are going to allow us to achieve that full potential. Poshmark will continue to be a place where you can save money, make money, and find human connection. And with that, I will turn it over to Anan.
Anan Kashyap: Thank you everyone for joining us for our first earnings call as a public company. Fourth quarter was another solid quarter as we delivered strong GMV revenue and our third consecutive quarter of operating profitability. We generated $387 million of GMV for the fourth quarter, which was 28% growth from $302 million in the fourth quarter of 2019. The robustness of our cohorts and simplicity of our model helped us deliver the strong and consistent growth. Commensurately, net revenues were $69.3 million in the fourth quarter of 2020 which was 27% growth from $54.7 million in the fourth quarter of 2019. This was driven by an increase in GMV in the fourth quarter of 2020 and overall growth of our community, including 20% growth in active buyers to 6.5 million from 5.4 million in the fourth quarter of 2019. Our take rate was 17.9%, down slightly from last year's 18.1% as a result of higher-than-expected delays or canceled orders resulting from USPS backlog during the holiday season. Cost of revenues was $11.6 million in the fourth quarter of 2020, an increase of 18.2% from the fourth quarter of 2019, and decreased to 16.7% of revenues due to some leverage in hosting expenses. Therefore, adjusted gross margin, which is net revenue less cost of net revenue improved to 83.3% of revenues in the current period as compared to the fourth quarter of 2019. Marketing spend was $27.5 million in the fourth quarter of 2020, which was a decrease of 24.8% from the fourth quarter of 2019. Marketing was 39.6% of net revenue in the fourth quarter of 2020, down significantly from 66.8% of net revenue in the fourth quarter of 2019, due to intentionally lowering our spend levels and rationalizing our marketing spend to focus on strong ROI user acquisition channels. We increased marketing spend as compared to the second quarter of 2020 by leaning more heavily into upper funnel strategies, such as television and influencer marketing to capitalize on the holiday seasonality. When COVID hit, we chose to cut marketing in the second quarter of 2020 to conserve cash. We had always planned to reduce marketing over time, but this pulled it forward and we operate with a different growth and a profitability mindset. What this proved was that our core retention and organic growth engine is very strong as our older cohorts are loyal and provide us with profits to invest for long-term growth. Moving to operating expenses. Operations and support was $11.9 million in the fourth quarter of 2020, an increase of 17.2% of revenues up from 15.7% last year. We experienced an increase in shipping charges related to USPS implementation of package weight and dimension scanners across the system. And we issued a higher level of redeemable credit as a result of severe USPS shipping delays coming from the holiday weather and COVID workforce complications. During this extraordinary times, we increased our hiring across the team to support customer needs during the fourth quarter to maintain our excellence in customer service. G&A was $8.3 million in the fourth quarter and decreased 11.9% of revenues from 14.5% last year, mainly due to decreased travel and entertainment expenses as a result of our remote work policies as well as lower consulting and legal expenses. We expect this to increase over time as we return to office and we experience additional costs of being a public company. We delivered adjusted EBITDA which excludes stock-based compensation of $4.2 million with adjusted EBITDA margin of 6.1% compared to a loss of $12.6 million and negative 23% margins in the fourth quarter of 2019. The majority of the profitability improvement was driven by strong revenue growth and our decision to lower our marketing investment absent prior to prior years. We will prudently invest in sales and marketing in the future as we did in the fourth quarter, but with the focus on growth and margins. Operating income was $1.6 million in the fourth quarter of 2020 with operating margins of 2.3% which is a meaningful change as compared to the loss of $15.1 million with negative 27.5% margins in the fourth quarter of 2019. Similar to the improvement in adjusted EBITDA the increase in income from operations was driven primarily by strong revenue growth and decrease in marketing expense. Due to the transition from a private company to a public company, we incurred GAAP noncash other expenses due to higher share price impact on changes in fair values of our convertible notes and warrants. Thus we believe that excluding all non-cash onetime capital structure expenses resulting from our IPO on January 14 from our net income is a better indicator of our operating performance. Fourth quarter 2020 non-GAAP net income to common was $1 million and excludes $5.1 million in non-cash expenses related to convertible notes and warrants due to the increase in the fair market value of our common stock share price resulting in non-GAAP EPS of $0.05 a share. For the full year 2020, non-GAAP net income to common was $22.9 million and excludes $18.9 million non-cash expense related to convertible notes and warrants due to the increase in the fair market value of our common stock share price and undistributed earnings to convertible preferred stock, resulting in non-GAAP EPS of $1.25 a share. Cash, cash equivalents and marketable securities were $262.1 million as of December 31 2020. During 2020 we issued $50 million of 3-year convertible notes during the third quarter which converted into 1.4 million shares of Class A common stock at the IPO. In addition, all 52.3 million of our convertible preferred stock was converted into Class B common shares at the IPO. As we look ahead and think about capital allocation and the use of cash our number one priority is using our strong balance sheet to position us to invest in growth and strategic organic investments to drive long-term growth internationally. Moving to the cash flow statement, we had a record year for cash flow generation and turned cash flow positive. For the year ended December 31, 2020 free cash flow was $82.9 million compared to a net outflow of $10.9 million in 2019. Our strong cash flow generation significantly strengthened our balance sheet and liquidity. Looking forward from a macro and long-term perspective, the megatrends that we have been leading are only increasing specifically the consumer shift to online shopping along with the shift to social commerce and secondhand. A year ago today the World Health Organization declared COVID-19 a global pandemic and our communities suddenly faced unprecedented times that continue to this day. At the start of the pandemic here in the US, state-by-state performance varied as our communities faced different localized concerns and lockdown environment, which began to converge as 2020 progressed. What we have seen thus far in the first quarter is state performance once again diverging. Specifically, we're seeing two types of state groupings. The first group is going to perform well with growth rates above the average such as California and Florida. Second group has seen more volatility, including states like New York and Texas, which in addition to COVID fluctuations have been impacted by unseasonably cold weather patterns and/or power outages. Our business model is built on the long-term retention of our cohorts, which as we demonstrated in 2020, even when faced with near-term disruptions have remained resilient. We conclude that as the COVID-19 vaccine rolls out and the country begins to reopen, trends impacting our community and business will continue to vary state-by-state as reopening time lines vary in the return to normalcy. Due to the uncertainty of the time line of COVID-19 recovery and reopening, we are not providing annual guidance at this time, but will be providing quarterly guidance. We expect first quarter revenues of $75.5 million to $77.5 million, resulting in a growth rate of 32% to 36%. First quarter started off with an unseasonably strong January. However, as noted, we have seen certain states under-perform relative to historic trends in February as our community manages through severe weather and COVID. We expect to remain profitable with first quarter EBITDA of $1 million to $2 million. Adjusted gross margin performance during fourth quarter 2020 was ahead of our initial expectations benefiting from leveraging of hosting costs. Moving to 2021, we expect gross margin to be similar to 2020 level due to normalization of hosting expenses. We expect operational support in the first quarter to be 100 basis points higher than last year, as we expect to see similar trends in the fourth quarter due to continued strains from the USPS. We now anticipate incremental costs due to the increase in credits issue to address USPS disruptions as well as additional staffing to support the increase in number of customer inquiries. Some of these trends may continue in the near term. We expect G&A expenses to be 150 basis points higher during the first quarter. This was driven by higher than expected public company costs for the year totaling $2.5 million. The vast majority of this was due to D&O insurance. We will remain disciplined with our ROI-based approach and expect marketing as a percentage of revenues to remain in the low to mid-40s in the 2021 as a percentage of revenues to grow users and support the launch of category and country expansion. We believe there is still a large opportunity for us. And so we plan to invest in building the brand, grow our user community, and international and category expansion. We see very strong GMV retention due to our social model, which drives engagement and repeat transactions. These cohorts have been both resilient and have high residual value after the initial year of acquisition. Thus, we're confident that the growing engagement of our user cohorts will enable us to deliver consistent growth over the long-term. Overall, we believe we have executed very well during a challenging environment with the focus on the safety of our employees, supporting our community and driving efficiency in our operations. Thank you. And I'll now turn the call over to the operator, so we could take your questions.
Operator: [Operator Instructions] Your first question comes from Lauren Schenk from Morgan Stanley.
Lauren Schenk: Great, thanks so much. I guess starting with a bigger picture question. The market is expecting a rebound in apparel spending as we progress through the year, which should benefit you guys. But how are you thinking about the supply environment in 2021 just given the boost that you saw in 2020? And do you feel like you have the right composition of supply on the platform to capture that demand for the course of the year? And then, my second -- I know I'm not allowed a second question. My quick modeling question, the 4Q take rate slightly below 18%, is that -- I know it's seasonally higher in the fourth quarter due to the cancellations and packages being stolen. Was that just higher than expected? Any additional color there would be really helpful. Thanks so much.
Manish Chandra: Great. Thanks Lauren. Let me -- this is Manish. I'm going to just start with giving you a little bit of the bigger picture. So, one of the things about our asset-light marketplace model, that is pretty key to understand is that the seller community can very quickly adapt to the changing profile of the demand characteristics. And that's sort of something we saw in Q2, as we went from a platform that was built on dresses and outdoor and everything else and everyone started to move towards sweats and tie-dyed and sort of a very different model. And what we'll see very similarly as we adapt to the world opening up is this change in demand and sales across the board. I wanted to share a specific data point on the platform is between January and February, there has been a difference in customer demand where customers are searching for summer dresses 200% more than they were in January. And the bathing suit demand in terms of searches has gone up by 150%. So, what you're seeing is the customers are starting to prepare for the opening and the platform will quickly respond to that demand as it prepares for that opening.
Anan Kashyap: And Lauren, I'll take the second part of your question about the take rates. So traditionally, Q4 actually tends to have a higher cancellation rate. What we saw this year was obviously significantly different, primarily because of the USPS delays. As you know, some of our customers had their package delayed by a week and some had their package arrive four weeks later. So we had a higher-than-usual cancellation rate because of that. As part of that, we actually had to issue more credits as well. So you'll see higher operation support expense in the fourth quarter. We expect there'll be a little bit more return to normalcy once USPS services are back up and running. There were some issues again in the middle of February, but since then, it's been returned to normal.
Lauren Schenk: Great. Thank you.
Operator: Our next question comes from Mike Ng from Goldman Sachs.
Mike Ng: Hi, good afternoon and thank you for the question. Would you just talk a little bit about the progress you've made expanding into Australia to date? And any learnings or challenges that will form your expansion plans for other international markets later this year? And then just as a quick follow-up, do you have any color about how we should think about buyer net additions for 2021 or even the first quarter? Thank you, very much.
Anan Kashyap: Mike, can you repeat the second part of your question again?
Mike Ng: The second part of the question on buyers was just could you talk a little bit about your expectations for buyer growth in early 2021?
Anan Kashyap: So, in terms of Australia, we're in the community-building phase of that country. When we launch a country, we spend the first phases just building out the community. Getting the operations and systems going in that phase is progressing really well. We in fact last week launched a partnership with our Board members Serena Williams and created our first closet for charity in Australia. And that has worked really well. So we continue to be in that community-formation phase and then we'll move into a marketing and sort of scaling-up phase as we start to feel the communities coming together. It's been honestly a very different experience than launching Canada, because it's been all done in COVID. However, the community is coming together very well even though, we're using more virtual events and sort of reaching out through video and Zoom calls in terms of building that initial set of community. There is a little bit more movement in Australia than what we see in US, but it's still quite restrictive. So we're learning how to build communities in COVID times. And we're seeing that coming together is even more intense than what we saw in pre-COVID times as people's thirst for social continues to be very, very strong. We feel that, as we open up other countries, we're going to learn some of the lessons of pre and post-COVID world and merge them, depending upon the exact circumstances of opening up of each country. But the core of our marketplace and core foundation, core behaviors seem to mimic what we've seen in US and Canada and Australia.
Manish Chandra: Yes. Thanks Mike. As far as active buyer growth for the remainder of the year, obviously, we're not providing guidance beyond just the first quarter. I think, what we expect in terms of the first quarter is very similar dynamics as the fourth quarter. With regards to active buyer growth probably more in the high teens than anything else. Hopefully, that gives you enough color.
Mike Ng: Great. Thank you, Manish and thanks Anan.
Operator: Your next question comes from Ross Sandler from Barclays.
Ross Sandler: Hey, guys. A question on the new non-apparel categories, like toys and beauty that you mentioned. How big of an opportunity do you see these as? And are these the same sellers, or are you bringing in new sellers and new categories? So if you kind of look out five years, which do you rank higher in terms of the growth opportunity some of these new non apparel adjacencies, or is the international going to be a bigger growth driver over the next five years? Thanks a lot.
Manish Chandra: Yeah. So beauty and home were really the highest growing categories in Q4 for us. We see both of them as becoming fairly significant over time. A lot of the usage, you see in the categories come from existing sellers, but they are both catalysts for drawing new sellers into the marketplace, but also new shoppers into the marketplace. Looking out five years, I think we expect categories to be a meaningful part of our growth. However, I still feel that international will turn out to be a much bigger opportunity for us just given the universality of the paradigm we're seeing across the world. But we expect both to be pretty significant as we look into the next five years.
Operator: Your next question comes from Oliver Chen from Cowen.
Oliver Chen: Hi. Thank you. As we do look forward, do you expect that there will be this divergence in the regional trends, or do you think it will harmonize in the context of reopening? Would also love your take on longer-term like tactics or strategies to try to weatherproof the business, and if weather may be a risk factor that's out of your control going forward? Thank you.
Manish Chandra: Great question, Oliver. I think a lot of the variability we are seeing is a combination of weather and COVID-related sort of divergence in the state cohorts. We see some – if you go back historically prior to COVID, we saw some level of divergence based on weather. But over a longer period, if we took multiple months things would converge. So if you took a variance from sort of the mean revenue from different states or mean GMV from different states their variance in the growth rates would be very small. I mean, we're talking single digits et cetera. The kind of divergence we are seeing right now is definitely COVID exacerbated with weather, but not completely weather-related. So that's sort of the one thing to talk about, and that's why it's a little bit more complicated to model it. I expect that, as all the states normalize, COVID normalizes, I think these very highly local sort of ordinances, vaccine distribution, et cetera, should start to normalize and we should start to see the states converge back. Hard to say whether it takes a quarter or two, but I feel that the world is already opening up and the differences we are seeing in states that are open and states that are more slowly opening is not as material as much as the very specific local ordinances that are shaping up these states.
Anan Kashyap: Yeah. The only thing, I would add about, what we see in some of these scenarios with regards to weather is it's essentially sort of twofold. One is extreme weather like states like Texas, and with the power outage impacting some of the scenarios. And the second is just how we see the dovetailing into the impact with USPS and their ability to essentially deliver packages. So – it's at the end of the day we're an e-commerce business, it's about delivering the product, right? So I would say, those extreme scenarios, we don't expect to happen consistently. So I would say, it's not about weatherproofing the business, it's unfortunate scenarios.
Oliver Chen: Thank you very much. Best regards.
Operator: Your next question comes from Ralph Schackart from William Blair. 
Ralph Schackart: Good afternoon. First question just on customer acquisition costs. Anan, you talked a little bit about moving more upper funnel in prepared remarks. But just curious the trends you saw in Q4 and perhaps more importantly, how are you thinking about CAC, or how should we think about CAC in 2021 as states in the world slowly reopen here?  And then maybe shifting gears. With the stimulus package that was just recently signed can you remind us how the business performed last year when the stimulus checks rolled out? And then just any prospective thoughts on 2021 as those checks roll back out again would be helpful? Thank you so much. 
Anan Kashyap : Yes, Ralph. As far as CAC is concerned, we maybe talked high level about marketing and our overall strategy. So maybe I'll pinpoint to that again a little bit here. The first is we're focused on driving as many active users on the platform and then converting them into buyers and sellers over time. So the way we approach marketing is to take a very ROI-based approach. So we look at all of our different marketing channels. We're pretty rigorous about looking at payback periods. And so for -- especially for the US as a primary market we're targeting approximately a two-year payback there.  And so when we look at kind of Q4, we basically manage the business around some of those thresholds. We obviously look at times where it gets too expensive then we pull back. And if it's cheap there's opportunity, we basically press on the gas pedal. International is the only one where we obviously expect to be some investment ahead of revenue. But as far as 2021, I don't think we see any sort of fundamental change in the advertising markets compared to what it was in sort of back half of the year.  And to your second part of your question about stimulus, look we're obviously extremely happy that the administration has done the right thing for a lot of our community. Many of them have been suffering obviously for a decent period of time. So this is -- was much needed. As far as how it impacted the business, yes, I would say it's obviously great for all retailers both online and offline.  However, we don't think about that as kind of the primary driver of our business. We're focused on building great cohorts that continue to retain over a period of time. If this is a short-term infusement into call it the overall economy, we don't think of it as something long-term in terms of how we should plan and run the business. 
Ralph Schackart: Okay. That’s helpful. Thank you, Anan.
Anan Kashyap : Thank you.
Operator: Your next question comes from Ron Josey from JMP Securities. 
Ron Josey: Great. Thanks for taking the question. Maybe two or so. Manish, just bigger picture here we've talked a lot about seller tools and just the opportunities here. And you talked about Drops Soon launching and shipping discounts and Posh Party Live launch. Can you just talk about the road map for seller tools, how you see them as a driver for just overall greater supply both on the seller side, but then how they could attract more demand?  And then Anan, I just want to make sure I understand you mentioned canceled orders due to shipping delays in 4Q January. I think you said it was seasonally stronger. February was hit by weather. Wondering if we returned to a normalized cadence here in March post-weather? And if there are any issues with like sales that were missed in February, do you think those get made up? Maybe that was the comment around some apparel growth early on in the quarter.  And maybe one last one if I can sneak it in. Just any thoughts on shipping alternatives to besides USPS. So maybe like if there's a local buyer and seller maybe using a delivery service or something along those lines? Thank you guys.
Manish Chandra: Great questions. Yeah. So when we sort of look at our entire seller road map, it is really designed to empower them to do three or four things. One is how do they merchandise better. So when you think of Posh Stories and videos, it is allowing them to do deeper merchandising on their platform and really take it into a faster sell-through of the listings that they're creating. The second piece is how do they market these listings get them exposed to more eyeballs both inside Poshmark and then outside Poshmark. And that is focused on things like Drops Soon Posh Stories and Posh videos also help them plan out their reach. So that's the second piece of the piece. And the third is to really offer the right economics to what the shoppers need. And that's where discount shipping et cetera helps in helping them fine-tune the right value proposition to their customers. We have other tools that we've built in historically like offer to likers, price drops that help them get to the right sort of pricing matching with the shopper. So we continue to serve the sellers on that front. The second set of tools that we've talked about that we're working on is really helping them scale their businesses, as they go from managing small businesses to medium-sized businesses to large businesses, we want to be giving them the kind of tools that they need to scale in those businesses. So that is about really supporting the sellers' journey from small to big to medium and attracts -- not just allows our current sellers to grow, but also attracts larger sellers as they have the more efficient tools available on the platform. And then the third thing is opening up our category funnel, so sellers have more things to sell attracting different kinds of buyers and more buyers on the platform. Our platform is really designed to serve everyone, whether you are an everyday seller all the way to people who are large sellers and brands on the platform. And so we want to build the tool set to serve that entire community of sellers. I'm going to take your third question and then turn it over to Anan for the second question. The third question really is all about logistics and partnerships. And we have been really -- we've seen a great partnership with USPS. 2020 was an exceptional year for everyone in terms of just the stress that has been put on the system and the level of pressure every logistics carrier went through and USPS of course took a big brunt of it. We certainly see them rebounding and continuing to get healthier as the year progresses. But we want to serve our customers, our sellers and shoppers right. So we are going to look at what are the other things that we can offer them for different kinds of logistics over time. But we have a great partnership with USPS and remain committed to that partnership at least here for now.
Anan Kashyap: So I think just to answer your question on kind of the intra-quarter dynamics around apparel. I think the one thing I would say is rather than spending too much time talking about what could or may not happen, I think the guidance hopefully is enough color there. We do see some real variability amongst the states. And so that's kind of I guess a key takeaway I would have here. States like California and Florida and we've got a few more in that group are just seen essentially outpacing the overall growth rate. And we've seen some lagging effect in certain states like New York and Texas. I think the key in terms of apparel sales, we do believe that hopefully as the markets in general start to reopen, we do expect apparel to essentially come back in terms of all the different alternatives, rather than just looking at sweats and more on sort of traditional dresses and swimsuits et cetera. As far as what's going to happen in the quarter, we really don't know, but that effect may actually continue on towards maybe the next quarter and the quarter after that. So that's just something that we really don't have any idea about at the moment, 0and we'll just have to wait and see.
Ron Josey: Great. Thank you guys.
Operator: Your next question comes from Aaron Kessler from Raymond James.
Aaron Kessler: Great. Thanks guys. Congrats on the quarter. Maybe just a couple of questions on the -- maybe just talk a little bit about the brands and vendor opportunities. We're seeing kind of more marketplaces move towards that maybe the opportunities there. And then maybe just additionally on the kind of marketing, how should we think about the US investments versus international for 2021 as well? Thank you.
Manish Chandra : So I'll take the first question, and Anan will take the second question. On the first question, we've built a platform as it's a platform that really enables any kind of seller to participate in the marketplace. And we have seen engagement from not just casual sellers, but from professional sellers. We've also shared that independent brands have engaged with it and we continue to experiment in partnerships with the brands. Not quite ready to share specifics there, but we really believe that our marketplace, as a social marketplace provides a unique opportunity for the sellers and a unique opportunity for shoppers to create a new experience where they can come talk to each other engage and bring sort of that off-line interaction in the online world. So, more to say there in the future. But for now we can tell you that we've been experimenting with all of that across the board.
Aaron Kessler: Yes.
Operator: We have time for…
Manish Chandra: Sorry, one more -- I think, I may be forgot the marketing question. So on marketing, the way we think about the US is going to be extremely disciplined as I was talking about earlier about the two-year payback dynamics. So I think we do expect that the investment in international markets will continue to increase as we launch more and more markets throughout the year. The core of the business you should still see a decent amount of investment in the US. We're targeting approximately call it low 40s to mid-40s of marketing as a percentage of revenue. And I think we're going to stay very close to those numbers throughout the year.
Aaron Kessler: Great. That's helpful. Thank you.
Operator: We have time for one last question. Your last question comes from Roxanne Meyer from MKM.
Roxanne Meyer: Great. Thank you, and congratulations on a great year and your IPO. My question is about the pet category. I mean, that's such an interesting market to go into lots of white space. It feels like very little competition. Just wondering how you're thinking about the opportunity there.
Manish Chandra: Roxanne, great to talk to you. It's -- we're excited. I think, it is very much built for a social marketplace model. Some of the features we've introduced recently Posh Stories and videos really allow people to express and tell a more compelling story around that category. We've certainly seen broadly a much wider adoption of pets just in 2020 as people were more isolated. Pets has been a growing part of the business. And it's something that we've seen organically appear in the marketplace. And I can tell you countless events where people came to me and said when are you going to enable pets as a category in the marketplace. So we're pretty excited. I think there's a lot of unique things we can offer in that category. It's the early stages. So expect us to share more as we make progress in that category.
Roxanne Meyer: Great. Thanks. Looking forward to it, and best of luck.
Manish Chandra: Thank you. Thanks so much.
Operator: I will now turn the call over to Manish Chandra for closing remarks.
Manish Chandra: Well, thank you everyone for joining us for our quarterly -- first quarterly earnings call, and we look forward to seeing you next quarter. Thank you everyone.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.